Operator: Good morning. My name is Chad, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the American Axle & Manufacturing First Quarter 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, today's call is being recorded.I would now like to turn the conference call over to Mr. Jason Parsons, Director of Investor Relations. Please go ahead, sir.
Jason Parsons: Thank you, Chad, and good morning, I would like to welcome everyone who is joining us on AAM's first quarter earnings call. Earlier this morning, we released our first quarter 2020 earnings announcement. You can access this announcement on the Investor Relations page of our website, www.aam.com, and through the PR newswire services. You can also find supplemental slides for this conference call on the Investors page of our website as well. To listen to a replay of this call, you can dial 1-877-344-7529, replay access code 10141431. This replay will be available beginning at 1 p.m. Eastern Time May 15th.Before we begin, I would like to remind everyone that the matters discussed in this call may contain comments and forward-looking statements subject to risks and uncertainties which cannot be predicted or quantified, and which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. Also during this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures as well as a reconciliation of these non-GAAP measures to GAAP financial information is available on our website.With that, let me turn things over to AAM's Chairman and CEO, David Dauch.
David Dauch: Thank you, Jason, and good morning, everyone. Thank you for joining us today to discuss AAM's financial results for the first quarter of 2020. Joining me on the call today are: Mike Simonte, AAM's President; and Chris May, AAM's Vice President and Chief Financial Officer. To begin my comments today, I'll review the highlight of our first quarter 2020. Second, we will discuss how COVID-19 global pandemic is impacting our operations and how we are adjusting our business.We will also discuss our current cash flow breakeven scenario for 2020. And lastly, we will discuss steps we are taking to structurally realize our business to operate profitably and generate significant free cash flow at a reduced level of global light vehicle production as previously planned.After Chris covers the details of our financial results and liquidity status, we will then open up the call for any questions that you all may have. AAM delivered strong operating performance and free cash flow generation the first quarter of 2020 despite the unfavorable impact of COVID-19 on global light vehicle production. AAM's first quarter 2020 sales were 1.34 billion, compared to 1.72 billion in the first quarter of 2019.The decrease in our revenues on a year-over-year basis reflects primarily two factors. The first relates to the global production shutdowns and reduction in consumer demand due to COVID-19 pandemic. We estimate that this had an unfavorable impact of approximately 169 million in the first quarter of 2020.In addition, our first quarter of 2019 sales included a 182 million related to our U.S. iron casting operations, which was sold in December of 2019 and is therefore no longer part of our sales base, starting in 2020. AAM's adjusted EBITDA in the first quarter 2020 was 213.3 million or 15.9% of sales. This is compared to 245 million in the first quarter of 2019 or 14.3% of sales.Our first quarter adjusted EBITDA was down year-over-year because of the estimated impact of the production shutdown related to COVID-19 of $47 million and the first quarter of 2019 included 18 million related to our U.S. iron casting business. However, on the upside, improved operating performance lower launch costs in the first quarter of 2020 counterparts the offset decreases and was the main driver of significant year-over-year margin improvement.AAM's adjusted EPS in the first quarter of 2020 was $0.20 per share, compared to $0.36 per share in the first quarter of 2019. AAM estimates that COVID-19 impacted earnings per share by approximately $0.33 per share. Another bright sport during the quarter was our generation of free cash flow. We generated adjusted free cash flow in the first quarter of 2020 of over $83 million, compared to a use of cash of over $188 million in the first quarter of 2019.Our capital spending in the first quarter of 2020 was over 50 million lower than what we spent in the first quarter of last year. We also experienced favorable working capital, compared to last year. Chris will provide additional information regarding the details of our financial results in just a few minutes here. As part of our call today, I'd like to directly address the COVID-19 health crisis, how it is impacting AAM, and what we're doing to address the short-term impacts and the long-term implications on our business.On Slide 4 of the presentation deck, you can see some of the issues AAM and the global automotive industry have been dealing with amidst the coronavirus crisis and actions we have taken to support our associates, while flexing our cost structure and preserving cash. Starting in China, in January and February and then in Europe in North America in March, governmental actions related production shutdowns has severely impacted operations.We're currently planning for customer production to begin to ramp up in Europe and then North America here in the mid-May a period time and continue to increase production slowly throughout the month of June. As we ramped up production in China and look to restart operations in Europe and North America, we are laser focused on taking the necessary steps within our facilities to safeguard our associates, while supporting our customers planned and staggered, restart other production operations.As far as the actions AAM has taken to mitigate COVID-19 and the impact on our business, we established a cross-functional COVID-19 taskforce that reports directly to me and meet daily to track our global company-wide issues and report on developments. Second, we published our own AAM powering up comprehensive guide on COVID-19 workplace safety and facility readiness, this is a benchmark and a guide that we've worked with OEMs, select Tier 1 peers and OESA guidelines that included the Center for Disease Control input as well as the World Health Organization input.From a cost perspective, we're flexing all of our variable costs including direct material, hourly wages, variable overhead and semi-variable costs such as utilities. We've also implemented pay reductions across our salaried workforce, starting with our Board of Directors at 40%, 30% reduction for executive officers, and 20% for the rest of our salaried workforce. These reductions will mostly be attacked throughout the remainder of 2020.We have analyzed all discretionary spending and corporate overhead costs for opportunities to delay or reduce expected expenditures. We currently have identified approximately $60 million in salaried and other overhead cost reductions to be achieved in 2020. We reduced our capital spending forecast for the year from $325 million to $250 million based on our current assessment of the market and customer launch schedule.And lastly, we recently announced an amendment to our credit agreement, which provides AAM additional financial flexibility as we adjust our business for the impact of COVID-19 on current and future global light vehicle production. Needless to say, it has been a very difficult challenging time for everyone. Reacting to the crisis has required swift and decisive actions that requires a level of sacrifice from each associate. We very much appreciate our global AAM associates who have demonstrated tremendous teamwork and contributed to our prompt and appropriate response.Due to the level of uncertainty associated with COVID-19, we withdrew our 2020 financial guidance on March the 25th. Clearly, the level of uncertainty continues to remain high including country and state executive orders, customer plan, restart date and global and domestic production volumes and ultimately end consumer demand. And as a result, we are not issuing revised 2020 financial targets at this time.However, we are offering a view of our free cash flow breakeven scenario for the year. We estimate that we can be breakeven from the adjusted free cash flow perspective in the scenario in which 2020 full year sales are 25% to 30% lower than our initial expectations for the year. This is very consistent with our previous cash breakeven disclosures.Assuming we are adjusted free cash flow breakeven for 2020, our total liquidity at the end of the year would be well over a billion dollars, which meets our target liquidity level. This analysis factors in the cost and capital spending reductions I mentioned earlier. Again, with the significant uncertainty that exists today, it is difficult to gauge how reasonable this scenario is and how likely it is that we will experience levels above or below this scenario.But I still believe it represents a solid baseline to use and reflect up and down from -- and the confirmation of previous assertions we have made. As we look to the future, it is important that we not only plan for the eventual ramp up of globalized vehicle production, but that we looked at what the new normal will look like, as it relates to the new approach to health and safety, manufacturing and consumer demand.We're not only focused on being resilient through this temporary crisis, but how we position our business going forward to be profitable and generate strong cash flow and a lower production environment. The actions that we are taking aim to restructure our business and maintain our industry leading profit margins at approximately $14 billion level.We are reassessing that realigning global capacity to support updated light vehicle demand, and we are targeting facility and supply base consolidation and capacity optimization. We're analyzing our current overhead costs and identifying opportunities to right size this cost structure to an adjusted expectation of light vehicle demand. And we're actively planning to reduce capital expenditures to 5% of sales or below for the next several years.In every crisis, there's an opportunity and we were taking this opportunity to position our company for future success, as we make our way out of this very difficult time. Before I transition to Chris, I'd like to discuss some positive developments as they relate to our electric drive technology. First, AAM's technology was recently recognized with two and I mention that again two Automotive News PACE awards, which serves as industry benchmark for innovation.AAM won both the innovation award and the partnership award for our front rear electric drive units featured on the fully electric Jaguar I-PACE. We're honored to not only recognize for AAM's market-leading technology and electric driveline, but also our ability to effectively collaborate with our customer in this case Jaguar Land Rover to deliver best-in-class vehicle integration, software, and controls along with the peer NVH performance. These awards further validate AAM's position as a global leader in electric propulsion technology.We're also happy to announce another new business wins, as it relates to our electric driving technology. Recently, we rewarded another new electric driveline program in China. This one was a brand new customer. Like our last awards, this program will support the value brand, front wheel drive, battery electric vehicle in the local Chinese market. This is our second E-Drive win in China, and we are clearly gaining momentum in this growth part of the market.We see many opportunities to grow our share of the new energy vehicles in China and believe our technology leadership and growing customer relationships, strongly positioning AAM for future profitable growth. It's important to note that while we are realigning our business to the new market demand and tightly managing our cost structure, we remain steadfast and our plan to invest in our future.We continue to seek profitable growth through organic new business opportunities, we will continue to support important book business and customer launches, and we will continue to invest in the next generation of electric drive and alternative propulsion solutions.And with that, let me now turn the call over to our Vice President and Chief Financial Officer, Chris May. Chris?
Chris May: Thank you, David, and good morning everyone. I will cover the financial details of our first quarter of 2020 results with you today. I will also refer to the earnings slide deck as part of my prepared comments. So let's go ahead and get started with sales.In the first quarter of 2020, AAM sales were 1.34 billion, compared to 1.72 billion in the first quarter of 2019. Slide 7 shows a walk down a first quarter 2019 sales the first quarter of 2020 sales. First, we set down our first quarter 2019 sales by $182 million to reflect the sale of the U.S. casting business unit that was completed in December of 2019.We estimated the impact of the COVID-19-related production shutdowns across the globe in the first quarter of 2020 was a $269 million, certainly having an unexpected and significant impact on our quarterly results. Excluding the impact of COVID-19, we did see a benefit of other volume mix of approximately $18 million. We also continue to see the trend of lower year-over-year metal market prices and foreign currency in the first quarter of 2020, resulting in a decrease in sales of $42 million.Now, let's move on to profitability. Gross profit was $195.3 million or 14.5% of sales in the first quarter of 2020. This compares to $222.2 million or 12.9% in the first quarter of 2019. Adjusted EBITDA was $213.3 million in the first quarter of 2020 or 15.9% of sales, as compared to $245 million in the first quarter of 2019 or 14.3% of sales. This represents 160 basis point increased in margin on a year-over-year basis despite the unfavorable COVID-19 impact. This increase in EBITDA margin is mainly driven by improved operating performance productivity and lower launch costs along with the sale of our lower margin U.S. casting business.You can see year-over-year walk down of adjusted EBITDA on Slide 8 for more details. Our first step in our EBITDA walk similar to sales just to back up the first quarter of 2019 casting EBITDA to providing comparable figures after the sale of our U.S. casting business. The impact of COVID-19 with lower production related to governmental stay-at-home orders and production shutdowns impacted adjusted EBITDA by an estimated $47 million, representing a detrimental margin of about 28%. We did see a benefit from other volume and mix with mix being a positive factor in the first quarter of 2020.And operating performance, lower launch costs and productivity drove year-over-year improvement of $21 billion in the first quarter of 2020 compared to 2019. We spoke at the beginning of the year about these factors being positive catalysts for AAM in 2020, and we certainly saw the benefits from the first quarter before we became significantly impacted by the COVID-19 disruption. And we expect these and other factors to continue to positively contribute once our operations get back and running over the next couple of months.We also recorded a non-cash goodwill accounting impairment charge in the first quarter of 2020 of $510 million. While typically in annual process to production disruption from the COVID-19 pandemic and related potential impacts, it will have on our future demand represented an indicator to test their goodwill for impairment. This result was driven primarily by lower projected global production volumes and changes to market related inputs such as increased discount rates as compared to our last assessment.Let me now cover G&A interest and taxes. SG&A expense including R&D in the first quarter of 2014 was $90.3 million or 6.7% of sales. This compared to $19.7 million in the first quarter of 2019 or 5.3% of sales. AAM's R&D spending in the first quarter of 2020 was $36.6 million compared to $34.3 million in the first quarter of 2019. We would expect to see SG&A decrease in the second quarter compared to the first quarter as wage reductions and other cost savings actions take hold.Net interest expense was $48.7 million in the first quarter of 2020, compared to $52.7 million in the first quarter of 2019, reflecting the favorable impact of lower overall year-over-year debt balances. In the first quarter of 2020, we recorded a tax expense of $3.3 million. This includes a $7.5 million benefit related to our ability to carry back losses from prior years under the CARES Act. This one-time gain has been excluded from our calculation of adjusted EPS.While we may experience some volatile quarterly tax rates during 2020, we continue to expect our adjusted effective income tax rate for the full year to be approximately 20% range. Taking all these sales and cost charges into account, our GAAP net loss was $501.3 million in first quarter 2020 compared to net income of $41.6 million for the first quarter of 2019. Adjusted EPS for the first quarter of 2020 was $0.20 per share -- $0.36 per share in the first quarter of 2019. We estimate that the lower productions related to COVID-19 unfavorably impacted our adjusted EPS by $0.33.Let's now move onto cash flow and the balance sheet. We defined free cash flow to be net cash provided by operating activities plus capital expenditures net of proceeds from the sale of property, plant and equipment. AAM defines adjusted free cash flow to be free cash flow excluding impact of cash payments for restructuring and acquisition related costs. Net cash provided by operating activities for the first quarter of 2020 was $139.4 million.Capital expenditures, net of proceeds from the sale of property, plant and equipment for the first quarter of 2020 was 69.2 million. Cash payments for restructuring and acquisition related activity for the first quarter of 2020 was 13.1 million. We expect restructuring and acquisition related payments to be between $55 million to $70 million for the full year 2020, up from our initial estimates at the beginning of the year due to additional restructuring actions that we're taking and plan to take in response to the expected impacts of the COVID-19 pandemic on future global light vehicle production and consumer demand.Reflecting the impact of this activity, AAM generated adjusted free cash flow of $83.3 million in the first quarter of 2020. This is a significant improvement from the first quarter of 2019. We saw adjusted free cash outflow or $188 million. We benefited from cutting capital spending that was nearly cut in half in the first quarter of 2020, compared to last year and working capital losses.From a debt leverage perspective, we ended the quarter with a net debt to LTM adjusted EBITDA or net leverage ratio of 3.3 times at the end of March. This calculation takes our total debt minus our available cash balances divided by the last 12 months of adjusted EBITDA. While we lowered our net debt levels as a result of the free cash flow we generated in the first quarter, the impact of COVID-19 on our adjusted EBITDA resulted in a slight increase of this ratio from the end of 2019.On Slide 10, we have our debt maturity schedule. In the first quarter, we redeemed $100 million of our 2022 notes. In addition on April 28th, we amended our credit agreement to among other things, revise our financial maintenance covenants to provide additional financial flexibility as we navigate the uncertainty that exists in our business today.We do not have any significant debt maturities until October of 2022. We ended at March 31, 2020, $683 million of cash on hand including $200 million of proceeds we drew down on our revolver. Since the end of the quarter, we drew an additional $150 million on our revolver to hold cash on hand.On Slide 11, we highlighted a few important notes regarding the second quarter of 2020. While we are already through one month of the quarter, significant uncertainty remains related to the resumption of production in the automotive industry in key regions, including the pace and effectiveness of these restarts by our customers and the entire supply chain.We are currently expecting production to begin ramp up in Europe and North America in mid-May in a phase approach and continue to increase production throughout the month of June. Given the uncertainty, we're including in our planning that there will be some startup in supplier and efficiency cost as we resumed production.We currently estimate needs to be approximately $40 million in 2020. However, we should more than offset these costs, with AAM's additional cost reduction actions. Despite the challenges we are facing, we expect to end the second quarter with over $1.2 billion in liquidity. While we're not providing any financial targets for the full year 2020, David will provide you with some information on our free cash flow breakeven scenario for the year.On Slide 12, we have included two walks to show you some puts and takes that gets us from our initial 2020 financial targets to the cash flow breakeven scenario David discussed. The table on the left starts with the midpoint of our initial adjusted EBITDA target for 2020 and loss to the midpoint of our adjusted EBITDA, where we expect based on the assumption that our revenue is down 25% to 30% from our initial 2020 assumptions.We are accounted not only for the assumed significant reduction in production volumes for our target but also the start-up inefficiency expenses and expected cost savings as well. We're diligently working to minimize those start-up efficiencies but believe it prudent to include for planning purposes. Most importantly, we're very focused on our cost savings initiatives that will benefit AAM in 2020 and beyond.Our areas of cost savings focus are temporary wage adjustments that began in the second quarter, adjusting staffing level to a lower run rate of production on top of variable cost structure reductions, fixed cost reductions in our facilities, including utilities, indirect labor and other elements of overhead, even more cost effective ways to conduct business by leveraging technologies to support back office demand, reduce travel, so on and so forth.Beyond the revised adjusted EBITDA amount, we reduce capital spending down to $250 million, expected interest payments of $205 million, and tax payments of approximately $15 million, which is about $40 million lower than our initial expectations at the beginning of the year. We expect inventory reductions and other working capital items to be as positive $40 million, resulting in an estimated adjusted free cash flow of approximately breakeven.The walk on the right takes a slightly different approach which demonstrates the same conclusion and actions we're taking. This walks from our initial free cash flow target to cash breakeven level. This slide shows all of the cash preservation levels, AAM is managing to offset the implications of COVID-19 and new market demands. We've talked about our downside protection playbook and the actions we would take in different scenarios based on the breadth and duration of the expected industry downs.The playbook is now in full effect. We're focused on both the short-term and long-term implications of light vehicle demand and adjusting our business to be positioned for financial success with lower production volumes. We're taking decisive actions, while ensuring our ability to support future customer scheduled important program launches and future profitable growth.Before we move on to Q&A, let me end with a few summary points, as I look at the challenges and opportunities AAM will face in the near-term and the longer-term. AAM has significant liquidity with cash on hand and revolver availability to handle the short-term production shutdowns caused by COVID-19. As that all difficult times, AAM is benefiting from our experience management team, variable cost structure, and established playbook for declines in production.AAM will work with customers, our supply base and other stakeholders to ramp up production in a safe and healthy way for associates and will continue to support critical customer launches with important capital and R&D investments. We expect to exit this temporary business disruption and a leaner stronger company by celebrating and upsizing existing restructuring plans and have the opportunity to benefit for years to come.AAM is focused on positioning our business to be profitable and generate significant free cash flow in a 14 million unit North American production U.S. SAAR environment following the near-term COVID impacts. And if that environment changes, we will do.Thank you for your time and participation on the call today. I'm going to stop here and turn the call back over to Jason so we can start the Q&A. Jason.
Jason Parsons: Thank you, Chris and thank you, David. We have reserved some time to take questions. I would ask that you choose limit your questions to no more than two. So at this time, I'll turn it over to Chad to proceed with any questions you may have.
Operator: Thank you. [Operator Instructions]. And our first question will come from John Murphy with Bank of America. Please go ahead.
John Murphy: A first question around the balance sheet, it seems that you've got this situation really in a headlock to put it bluntly and have done a really good job here in reacting quickly. I'm just curious on the balance sheet, though, if there were any openings or windows to opportunistically raise capital at reasonable costs, would you consider that? Or do you think you're really just in very good shape here and don't even entertain that kind of idea?
Chris May: Look, John, this is Chris. First, I will tell you from a liquidity perspective, I think we're in very good shape, but we're constantly looking at our maturity table, our continued access to liquidity, and if there was an opportunity, we'll certainly consider.
John Murphy: And then second question on the restart. There's obviously a lot of focus by the automakers in producing the most profitable highest mix vehicles, as they restart to really get things going here. I'm just curious, as you look at this, particularly around GM and the North American market, if you can sort of remind us of sort of range of content per vehicle, high and low, maybe you would have on pickups, SUVs and crossovers, because I mean, there's going to be a real significant difference in richer mixes as a wrap up here and it seems like it's probably going to be an opportunity that might be under appreciated by a lot of folks?
David Dauch: John, this is David. As far as content for vehicle, John, full-size truck ranges anywhere between $1,700 on average, up to maybe around $2,500. On the crossover vehicle side of things, it's in that $1,200, $1,300 range. So your comments spot on in regards to, as the OEMs prioritize the full-size truck or the crossover vehicles for their own profitability and profitable needs that should benefit American Axle as we go forward. And we said, we've been positioned very favorably in the marketplace with those segments. Those segments have continued to grow over the years where it was over 70%.Last year now, last month, it was over 76% of the overall market or the sales that are taking place to write to that that sweet spot of trucks and SUVs. But our number one priority with the restart is really focused on the health and safety of our associates and implemented all the safety and new manufacturing protocols that need to be put into place. We think we're very well prepared for that. At the same time, we published our own powering up guidelines, which clearly articulate and communicate that to our workforce with respect to those new safety guidelines. So, that's the priority for us. But at the same time, like you said, we will benefit from the richer mix.
Operator: The next question will be from Rod Lache with Wolfe Research. Please go ahead.
Rod Lache: So, it looks like your speaking EBITDA would be around 465 on roughly 1.5 billion revenue decline in this hypothetical scenario, so 32% decremental. We're just hoping, first of all, you could just address. If you get some of that back, that revenue that you lose, would the incremental margins be kind of linear to what you're seeing. So, in other words, it certainly feels like full-size truck comes back faster and stronger than the rest of the market. But if you wanted to calibrate and think about $1.1 billion coming back or $1.2 billion or whatever, would we apply similar 32% incremental margin to that?
Chris May: Rod, this is Chris. The scenario here we're using the midpoint of our previous sales guidance around $5.9 billion. So, it's a little more closer to $1.6 billion in terms of sales decline in this analysis, but generally speaking, yes, you would see, this would flex up and down in similar ranges.
Rod Lache: Can you just clarify two things? One is the volume mix in pricing benefit on EBITDA of $17 million on $18 million top line impact. Typically, you'd see something like that if there was some kind of pricing adjustment with such a high flow through. Was that the case? Or is that something else? And then lastly, obviously Mexico is still a major concern for many suppliers and what the policies there will be. What's your latest thinking there just given us your base of operations there?
Chris May: Yes, Rod, I'll answer the first part of that question as it relates to your other volume mix and pricing. It is not related to pricing, as you've indicated. It's truly actually a mixed element where we was some high volumes in some of our higher contribution margin product, and we saw some lower volumes declines and some of our lower contribution margin products. So, it happened to work in a favorable way this quarter. And with the wholesale change kind of exemplifies a little bit.
David Dauch: Rod, this is David. With respect to Mexico, clearly, the country order, executive order right now runs until the end of May. That's probably still our remaining concerned now that Michigan is allowed folks to come back to work starting as early as next week. Clearly, the OEMs, the trade associations, the supply base is all working with the government in Mexico, and we're hopeful that they hit they will align with the mid start or restart here in the mid-May period of time still the end of the May. It's very critical that that happens in order to protect the value chain and continuity of supply going forward for the whole industry.
Rod Lache: That is a working assumption and that you believe that, that is something that is likely to happen or is it still uncertain?
David Dauch: It's still uncertain, but we're very hopeful.
Operator: The next question will come from Ryan Brinkman with JP Morgan. Please go ahead.
Ryan Brinkman: Firstly, just relative to the outlook for liquidity of over $1.2 billion on June 30th versus $1.46 billion on March 31st. Can we assume that total change in liquid of less than $260 million is tantamount to be expected for the cash flow during the quarter? Or are there other items in financing cash flow or otherwise that impact liquidity, et cetera that don't allow us to make that assumption? And are you able to sort of maybe bucket out that less than $260 million changing cash or liquidity by maybe working capital versus CapEx impact, et cetera?
Chris May: This is Chris. Yes, that's predominantly change cash through the course of the second quarter. We would expect a significant decline in operational cash with reduced sales. In a very small working capital benefit at the tail end the Q1, we were free cash flow positive in Q1. We would have been free cash flow positive in Q1 even pre-COVID. Again working capital the beginning part of the second quarter and then you'll start to consume working capital the back end of the second quarter, early part of the third quarter, as operations come back up, but there's no other matters other than building your main two inputs into that movement of liquidity.
Ryan Brinkman: Okay, thank you. And maybe could you speak to how you contained the decremental margin, as well as you did in 1Q? And then, as we think about decremental, how can we think about them tracking like as the year progresses? By what quarter do you expect to get 60 million additional run rate savings implemented? Is it fair to say that, 2Q decremental will be harshest this year given just that has the largest degree of your decline in production maybe won't have, quite the full 60 million run rate in there? Any guidance you can give us in terms of how the decremental to my track?
Chris May: First part of your question relates to the 20% decremental we experienced here on our COVID impact in Q1, which is really the back half. So that was actually a broad since the entire company in North America and Europe and all Asia was kind of back online by in the quarter, but that was more of a broad based company average you saw. But at the same time, as our facility shut down to some cases near in zero production, we were able to eliminate some semi-fixed and fixed costs associated with the tailwind, which allowed us to kind of minimize a little bit of that. I would expect similar or a little bit higher in terms of impact in the second quarter, in terms of -- because of the dynamic and change of last year to this year in the size and magnitude to that.
Ryan Brinkman: Finally, just a housekeeping item, what is the cash cost of the 60 million restructuring savings? Or just said differently, what kind of non-adjusted free cash flow could we expect in a breakeven adjusted FCF scenario this year give it any restructuring or other backed out items?
Chris May: Yes, we have restructuring items here in 55 million to 70 million and the piece associated with that 60. Think of it kind of in line with the delta to where we previously were. Beginning of the year, we were on 35 to 40 range.
Operator: The next question will come from Dan Levy with Credit Suisse. Please go ahead.
Dan Levy: I wanted to just start with the CapEx reduction of $75 million CapEx reduction. How much of that is your own discretionary action in trying to cut CapEx versus simply a function of launch is getting delayed? And how should we view the lower CapEx sustainable beyond this year?
David Dauch: This is David. The efforts to reduce and CapEx were largely driven by AAM's internal initiatives, but obviously, we retimed some of our spending based on some of the retiming of our customer programs and the launches that were associated with. Regarding the second part of your question with regards to CapEx, again, we've been targeting all along the 5% or less. We're very confident that we can hold those numbers for several years going forward.
Dan Levy: And then my second question is your primary exposure is North American truck and recognized you're diversifying your exposure, but we are in an environment of cheaper gas and softened fuel efficiency regulations. So this arguably provides some ability to take your foot off the pedal and spend on [advanced] tech. So how are you looking at the tech spend here? And what are the near term benefits? And does the disruption make you more structurally slow down tech spend given your core exposures are still North America and truck?
David Dauch: Obviously, first and foremost, we're going to protect the core business and continue to invest in our core business. We've been steadfast with respect to that. At the same time, as part of our cost reduction activity, we have not touched all of our R&D spending and commitments to electrification.
Dan Levy: No near term benefits on that as fully impact?
David Dauch: We've just realigned our product engineering how we want to spend the money without jeopardizing what we're doing for advanced an alternative propulsion technology.
Chris May: And we are taking cost savings actions outside of that as well in our engineering spend.
Operator: The next question will come from the Itay Michaeli with Citi. Please go ahead.
Itay Michaeli: I just had a couple of follow ups. First to make sure I'm clear on the working capital, Chris. Just with the analysis you've laid out, would we expect directionally second half of the year working capital to then be a source of cash?
Chris May: Yes. If you see the back half of the year in particular fourth quarter where we typically have a working capital benefit, I would still expect that to happen. You'll see us benefit sort of the very challenging first quarter, first half of the second quarter, and then it flipped to use the back half of the second quarter, early part of third quarter, and then revert back. It's just the nature of the downtime of the sales.
Itay Michaeli: And maybe for David a second question. Just how we should think about, some of the CapEx cuts including beyond 2020? How you're pursuing new business and any changes there in terms of what the Company is looking to pursue, as well just the overall kind of quoting environment through to this crisis? How that is looking?
David Dauch: Itay, I mean, clearly with the global volumes changing, the regional volume is changing, there's going to be excess capacity in some of our facilities. We're working very hard to consolidate those facilities to drive greater utilization. At the same time, that'll free up capacity to go after new business. So, we're not changing any of the organic opportunities that are in our market basket at this time, if anything, we think that we can capitalize on that as we go forward. And then in other cases which our senior managements are making decisions to trim the sales a little bit in light of the current environment that we're in. But we still, we feel, as I mentioned earlier, very confident that we can continue to execute the plan that we have at the reduced CapEx spending levels that we've identified.
Operator: Our next question will come from Brian Johnson with Barclays.
Brian Johnson: I just want to get a sense from kind of Mike and you've been through this before in '08, '09, we remember those days, and I'm going to take as a given that a Three Rivers and Silao, you know how to manage through it. But what are you seeing vis-a-vis the acquired metaldyne plants sort of picking up you because you're close to the frontlines? And, how have those been -- how you're looking at those as they start? Are there opportunities? Could you maybe elaborate on some opportunities to consolidate back? Because I think just in general, we feel more comfortable with your ability to re-ramp at legacy Axle, and we've seen some issues with the acquired MPG properties over the last couple years?
Mike Simonte: I think you've made a good point. We do have our team assembled almost entirely, not exactly entirely, but mostly from the last time around, and we're flexing the same muscles that we flex before in terms of the cost structure adjustments, and really the quick adjustments to this type of environment. We were hoping we wouldn't have to do that but quite frankly, here we are, again. Relative to the MPG facilities, look, we've owned these facilities now for a period of time. As far as we're concerned, we don't really see any difference between these operations and others.The one areas is different Brian is the size of some of these operations. And so as David just mentioned in looking at our capacity footprint and looking for ways to, not just reduce cash, but improve efficiency in operations, get a better fixed cost utilization, we are consolidating some of these operations, and we're finding opportunities to consolidate into slightly larger not the same sizes Three Rivers in Guanajuato, but larger operations that can be more efficient and make us more cost competitive.We're seeing that show up in our quoting activities in a favorable light. We don't have to increase our CapEx to add incremental business in components such as balance shafts, for example. This is an area for us to capitalize on. So, I hear you in terms of some of the launch challenges that we had a year or two years ago. But our point-of-view is we've got very close control over how these operations are going to restart and very close control. In fact, David, me, Chris and the whole senior management team into the details of how we're going to restructure every one of these operations.
Brian Johnson: And just as a follow-up. Can you remind us of what the acquisition brought in terms of the European footprint? And how that's faring through the shutdown over there and gradual restart?
Mike Simonte: The European footprint brought us sort of two core businesses. One was a European forging footprint. The former Zell business which is now operated by us, in Germany and the Czech Republic, that is, while they're sales are down, reflecting the OEM marketplace, that business is being restructured and improved very nicely by our team. And that business is strong in some areas, and we'll be ready to fire up here very soon.The other business that we had in Europe was in our, what we originally called our powertrain businesses, that's now part of our driveline business. And this is the vibration control systems business. This is the business that is levered to small engine, smaller engines and of course balanced in those engines. So, I think hybrid engines and small displacement engines. So there's still a fair amount of growth potential in this business. We operate that business across four facilities and that business is one that we are looking for some consolidation.
Brian Johnson: Thank you, very helpful, Mike. And I hate to be back here with you again, but I remember how you follow through last time.
Mike Simonte: Well, we were not pleased with -- we'd be rather to manage a lot of growth, but we know how to manage this side of it too. And quite frankly we do -- how we feel about this right now is we do a really great job of managing the cost structures to this situation. We're going to be set up for really competitive positioning, coming out of this. And you can count on some very attractive incremental margins when we get our sales back.
Operator: The next question comes from James Picariello with KeyBanc Capital Markets. Please go ahead.
James Picariello: Really appreciate the breakeven free cash flow analysis. Just on the implied decrementals at 30% in a down revenue scenario, the question is, in the down revenue scenario beyond the 25% to 30% range you're using, how would the decremental performance change, if at all? Could actually theoretically find additional cost savings at that point, sustain a similar level of conversion? So any color there would be helpful. And then just on the $250 million in CapEx within that scenario, does that establish the minimum level you'd be willing to go down for this year?
Chris May: This is Chris. As it relates to contribution margin decrement, you would obviously, declined, you would experience a similar rate. But if you think about our playbook, if we thought that duration would be extended, I would suspect that levels, as you start to drop further in this, you would probably take that view. We would begin to do some holistic restructuring of some of our capacity where you'll then be able to call back some of that margin loss. But if you look at the playbook on that next slide, you'll see exactly how we stepped down and some of the actions we've taken today, especially from a footprint standpoint and some additional fixed cost elements.
David Dauch: This is David. In respect your question on the CapEx, 250 is a minimum level that we're going to work through at this time, but we obviously will adjust with the market as need be, but we think that's the appropriate level to be operating with, with an understanding that we got booked programs and committed programs that we need to launch and will launch and support our customers.
James Picariello: Got it. Yes, that makes a lot of sense. And then just on the latest E-Drive award in China, can you just provide an update on maybe what your best assessment is of the timing for the 3 programs that have yet to launch? I believe the P2 program in Europe had a mid -- or has a mid-2021 start. That first China award possibly later this year, any change in the timing?
David Dauch: The first China award is still on time. The European is moved out slightly into the 2021 calendar year period of time, but again staggered because of the various variants that go on that program. But overall things are relatively in line.
Operator: The next question comes from Joseph Spak with RBC Capital Markets. Please go ahead.
Joseph Spak: I wanted to quickly go back to Ryan's question just to clarify. So of the $260 million lower or sort of cash outflow in the quarter, based on your other CapEx commentary, it sounds like maybe that's $50 million or so of it. And it sounds like you're planning net for some working capital use over the quarter. So sort of mid- to high 100s EBITDA, the right way to think about marketing all for those factors?
Chris May: So, yes, as it relates two quarter Joe, so we try to articulate through that to our liquidity end of the quarter. Remember, it's just greater than 1.2 billion. But yes, we will consume cash because of our lower EBITDA operations. And you're going to also then consume some working capital as well. You'll get a benefit on the flow part. It'll be ultimately tied in with our customers' startup in the back half years, or your working capital move between second and third quarter.
Joseph Spak: Right. And then just, I think Slide 13 is really, really interesting, sort of the playbook. And I like the way you sort of put this between the sales decline range and the duration range. And it seems like right now, we're in the steeper part of the sales decline, but maybe the duration is shorter. But the midterm duration, I think, is still unclear. I think as sort of we talked to some of your customers, and I'm sure you do as well. So how do you go about thinking about executing this sort of playbook that you laid out here? And has this experience sort of cause you to rethink whether maybe you should be more aggressive with some of the actions you can take in the more dire scenario, even if it's just preventatively?
David Dauch: We are going to be very aggressive and are being very aggressive with respect to implementing our downside protection playbook. So you can expect that all four boxes that are on here, we're going to be very focused on it and there'll be activity in every one of those areas. And as I mentioned earlier, we're realizing realigning and restructuring our business from the 16.5 million units are here in North America to a 14 million U.S. SAAR, which is the second half run rate of this year. Knowing that this year, the full SAAR will be around 12 million.
Operator: Gentlemen, your last question comes from Armintas Sinkevicius with Morgan Stanley. Please go ahead.
Armintas Sinkevicius: You mentioned positive free cash flow in the first quarter, even pre-COVID. Can you talk about the drivers of that positive free cash flow? Usually first quarter is a seasonally soft quarter. You have no cash outflows. What was the difference here? Is it working capital or something else?
David Dauch: Last couple of years, it's been seasonally outflows. Couple of years prior to that, we were actually positive free cash flow, Armintas. But, we had stronger -- you had timing of your working capital. And that ebbs and flows a little bit in different orders, but it was favorable for us here in Q1, focus on inventory and then CapEx was done.
Armintas Sinkevicius: And then, the China E-Drive award here impressive particularly given the environment, what are you seeing out of China operationally and from a conversation standpoint? Is that starting to pick up? Or people still in China trying to manage getting their operations up and running?
David Dauch: No, this is David, Armintas. We're seeing China, obviously ramping up and getting very close to pre-COVID production levels. Month of April was actually a growth month for them first time in a couple years. I think you're going to continue to see improvements within China going forward here. So, they're pretty well almost caught up to where they were pre-COVID.
Armintas Sinkevicius: Right, but are you seeing conversation around new business starting to pick up now as well?
David Dauch: As far as new business award opportunities?
Armintas Sinkevicius: Yes. Correct. So you have the one award, is sign up for more things to come in the near-term? Or is it more of a one half year?
David Dauch: No, I think there'll be more opportunities especially as the government continues to press and push new energy vehicles there, and they've also put the incentives back in for another couple years now. So, that's how going to stimulate more demand for new energy vehicles, and I think there'll be additional sourcing opportunities that will get our fair share.
Jason Parsons: And we thank all of you who have participated on this call. I appreciate your interest in AAM. We certainly look forward to talking with you in the future.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.